Operator: Good day, and welcome to the Onto Innovation Third Quarter Earnings Release Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Michael Sheaffer, Investor Relations. Please go ahead, sir.
Michael Sheaffer: Thank you, David, and good afternoon, everyone. Onto Innovation issued its 2021 third quarter financial results this afternoon shortly after the market closed. If you've not received a copy of the release, please refer to the company's website where a copy of the release is posted. Joining us on the call today are Michael Plisinski, Chief Executive Officer; and Steven Roth, Chief Financial Officer. As always, I need to remind you of the safe harbor regulations. Any matters today that are not historical facts, especially comments regarding the company's future plans, products, objectives, forecasts and expected performance consist of forward-looking statements within the meaning of the Private Securities cation Reform Act. These estimates, whether expressed or implied are based on currently available information and the company's best judgment at this time. Within these is a wide range of assumptions that the company believes to be reasonable. However, it must be recognized that these statements are subject to a range of uncertainties that can cause the actual results to vary materially. Thus, the company cautions that these statements are no guarantees of future performance. Risk factors that may impact Onto Innovation's results are currently described in Onto Innovation's Form 10-K report for the year ended December 2020 as well as other quarterly filings within the SEC. Onto Innovation does not update forward-looking statements and expressly disclaims any obligations to do so. Today's discussion of our financial results will be presented on a non-GAAP financial basis, unless otherwise specified. And as a reminder, a detailed reconciliation between GAAP and non-GAAP results can be found in today's earnings release. I will now go ahead and turn the call over to Mike Plisinski. Mike?
Michael Plisinski: Thank you, Mike. Good afternoon, everyone, and thank you for joining Onto Innovation's Third quarter Earnings Call. The Onto Innovation team delivered a strong quarter, exceeding the high end of our revenue guidance and improving both growth and operating margins. While supply chains continue to be challenging, we expect demand to increase in the fourth quarter with revenue growing 5% to 10% over the third quarter. But let's begin with highlights from the third quarter, starting with the advanced nodes market, which grew by 10%, driven by [indiscernible] spending in the quarter. Smaller geometries and new 3D transistor structures are creating an increase in capital intensity for high sensitivity, high-speed optical metrology systems. As an example, metrology applications to support the next-generation FinFET structures could increase as much as 50% over prior structures. Customers indicate that our combination of greater sensitivity and AI-enhanced modeling software is proving to be a powerful differentiator in these applications. In the third quarter, more than half our revenue at Advanced Logic came in support of investments for pilot lines for transistor structures below 5-nanometer. Our strategy to grow share in integrated metrology is also progressing well with another leading DRAM manufacturer selecting onto integrated metrology to support their production ramp of next-generation high-bandwidth memory starting the first half of 2022. This year, we've already added six new customers for integrated metrology and each are expected to move to volume production next year. In addition to being positioned for those future expansions, we've seen a strong increase in demand this year from existing customers. In the first nine months of the year, integrated revenue increased 50% over the same period in 2020. The IMPULSE five technology further improves our value proposition as we believe it is the only system capable of speeds matching the latest CMP tools while maintaining required sensitivity below 30 angstroms. This capability allows customers to increase line productivity by reducing rework due to over polishing and CMP. Now turning to our largest market. Revenue from our specialty and advanced packaging customers was comparable to the second quarter and 43% greater than last year's third quarter. Within these markets, demand for our inspection technology continued to accelerate, and for the second straight quarter, our inspection revenue increased by over 20%. The strongest demand is coming from the top IDMs to support investments in new heterogeneous packaging, micro bump and 3D TSV technologies. We uniquely meet these challenges by augmenting our inspection platforms with advanced analytics, leveraging artificial intelligence to provide actionable information to our customers. For example, DRAM memory customers have been challenged by micro cracks induced by stress in the sawing process. These cracks can become costly reliability issues, especially when several dier stacked into single HBM or high-bandwidth packages. Increase in sensitivity would find the cracks, but also thousands of nuisance defects resulting in overkill of good die or shipping die with potential reliability issues. By leveraging our proven machine learning algorithms, we're able to detect the critical defects of interest while eliminating the noise, which resulted in a more robust solution and improved yield. In addition to our tool-centric solutions, we see stronger demand for our enterprise software, particularly from the specialty device markets, including power and RF customers, which represented 50% of our enterprise sales in the quarter. The combination of enterprisewide revenue and expanding tool-centric applications helped set a new record for the business in the third quarter. We also see leverage for the software to enable enhanced productivity services to our fleet of installed equipment. Since the merger, we've been steadily transitioning our services business from a traditional break-fix model to a more customer-focused recurring revenue model with an emphasis on contracted services aligned with customer performance metrics. As a result of these efforts, contract revenue has increased each of the last eight quarters. Over the last several years, our software and services business has grown by about 30% and is roughly 20% of our revenue today. And we believe leveraging our software will provide additional future growth opportunities for this business. So it's certainly an exciting quarter across several areas of our portfolio, but perhaps most exciting is the progress being made on our latest JetStep lithography platform for advanced packaging. The first tool has been installed in the starting process qualification for panel-sized heterogeneous package technology. We shipped our second tool in the third quarter, and we received commitments for six additional manufacturing slots for delivery mostly in 2023. In order to support the commitments for 2020, we're expanding the manufacturing capacity at our Wilmington facility and with our key suppliers. Now I'll turn over the call to Steve to discuss the financial highlights.
Steven Roth: Thanks, Mike, and good afternoon, everyone. In my remarks this afternoon, I'll provide some details on our Q3 results and then follow with our guidance for the fourth quarter. Let's get started. Our third quarter revenue was $200.6 million, up 59% over the same period last year and up 4% over last quarter. The sequential quarter-over-quarter increase was mainly driven by inspection sales and our software group, which Mike mentioned, had a record quarter. Breaking down the revenue by market, 45% of our sales were from our specialty devices and advanced packaging markets, which continue to strength from the previous quarter. Advanced node market represented 35% of sales in the quarter and increased 10% over the prior quarter. That increase was driven by logic sales, which grew 80% quarter-over-quarter, offset by weakening in memory. Finally, software and services increased slightly in the quarter and represented 20% of revenue. Our gross margin continued its strong quarter-over-quarter performance, increasing to 55.1% compared to 54.5% in the second quarter. Higher revenues, including stronger software sales, offset supply chain and logistic cost increases in the quarter and drove the gross margin improvement. Third quarter operating expenses were $51.6 million, a decrease of $4.2 million from $55.8 million in the second quarter and lower than our guidance. The decrease is primarily due to variable compensation plan adjustments, which were recorded in the second quarter, which increased operating expenses in that quarter. In addition, there were lower stock-based compensation expense in the third quarter. Those decreases were partially offset by an increase in head count in the quarter to support our revenue growth. We continued our quarterly operating margin improvements each quarter since the merger with third quarter operating margin of 29%, achieving our published $800 million long-term operating model on a quarterly run rate basis. We also remain confident in our $1 billion operating model, which calls for gross margin between 56% and 57% and operating margins between 31% and 32%. Net income increased in the third quarter was $48.7 million or $0.98 per share and at the high end of our guidance. In the second quarter, we reported net income of $45.9 million or $0.92 per share. Moving to the balance sheet. We ended the quarter with a cash position of $461 million, up $51 million from Q2. Our free cash flow for Q3 was $48 million or 24% of revenue and our year-to-date, and year-to-date, we have generated over $115 million of free cash flow. Accounts receivable increased to $180 million in the quarter, primarily due to increasing revenue, but our days sales outstanding remained at 82 days. Our inventory increased to $222 million in the quarter on higher planned revenues for Q4 and acceleration of inventory deliveries as a hedge against supply chain disruptions. Now turning the fourth quarter guidance. We expect revenue to be in the range of $210 million to $220 million. Earnings per share in this range will be anticipated to be between $1.02 and $1.16 per share. We also expect that our gross margins will be between 55% and 56%. Proper expenses were aggressively recruiting and expect additional headcount on board by the end of the quarter. Therefore, we're currently anticipating that our operating expenses will increase in the fourth quarter and be in the range of $53 million to $55 million. And with that, I'd like to turn the call back to Mike for additional insight into Q4 and into 2022. Mike?
Michael Plisinski: Thank you, Steve. I'll start with commentary on the supply chain challenges impacting many companies, including onto innovation. We see risks in the supply chain likely to continue through the first half of next year. We believe our U.S.-based manufacturing operations and predominantly domestic suppliers are proving to be an advantage by enabling closer cooperation and some reduction in logistics risk. However, supply chains are multi-tiered and complex, and overall, we expect challenges will continue. Therefore, we are increasing our cooperation and proactive oversight with our vendors. We're taking an inventory as soon as it's available, and we're sharing our extended visibility with suppliers, so they're better prepared to support the growing demand we see for our solutions. So assuming no surprises from the supply chain, demand in the fourth quarter will result in our fifth consecutive quarter of growth, up 7.5% at the midpoint of our guidance range. We see the strongest demand coming from our specialty device and packaging customers with revenue growing over 15% from the third quarter. In particular, we see increasing for compound semiconductor materials, such as silicon carbide and gallium nitride, the so-called third-generation semiconductors for electric vehicles, solar energy inverters, charging stations and power storage applications. In the last year, we've added significantly to our solution suite serving these markets. We now offer overlay metrology, inspection, planar films and integrated metrology, all connected through our enterprise software to reduce customer ramp times and improve yields. In fact, we expect revenue growth from RF power and image sensor customers to more than double in the fourth quarter, representing roughly 20% of overall system revenue projected in the quarter. Within the advanced node segment, we see a surge in DRAM, offsetting pauses in both logic and NAND, essentially matching the record-setting third quarter. We expect 2022 to be another growth year for the industry, supported by many customers announcing capacity increases across our core markets and advanced nodes and specialty devices. With record backlog over twice the size of this time last year and success expanding our served markets, including traction and panel lithography, we're optimistic we will exceed the current wafer fab equipment projections of 10% for 2022. Finally, on the second anniversary front to innovation, I'd like to close by acknowledging and thanking the entire Onto Innovation team for their dedication to our customers' success and their innovative spirit demonstrated not only in the products we produce, but also how we approach and more importantly, overcome exciting new challenges. It's truly an inspiring team to be a part of. And with that, I'll turn the call back and open the line up for your questions.
Operator: [Operator Instructions] We'll take our first question from Craig Ellis with B. Riley Securities.
Craig Ellis: Yes, thanks for taking the question and Congratulations on the strong results and guidance. Mike, I wanted to start by following up on some of the software comments that you made. It seems like there's some real strength in the business and it sounds like it's multipronged. So can you just talk a little bit more about what you're seeing with respect to customer engagement in software because certainly the 28% quarter-on-quarter gain as eye-catching and the interest is whether that was something that's really more episodic in the back half or if you see that following through as you go into 2022?
Michael Plisinski: No, Craig, we've seen steady gains in the software business over the last several quarters, and we didn't mention it because we want to make sure this is a trajectory that we're going to maintain and not just a talking point for a quarter or 2. And we do believe it's a long-term trajectory. What we're seeing is demand, especially this rapid demand or growth for smaller companies, the OSATs, the specialty device makers, they're experiencing such demand. They need systems and software that can be more turnkey and allow for rapid deployment and rapid yields. So rapid deployment of the equipment and then the resulting analytics to drive yield. So we're seeing this playing out both at our equipment level. That's what we call the tool centric, and we gave an example of that. There are several others, leveraging other technologies we have and also at the factorywide level. And that includes not just fabwide analytics, but also control solar for automatic process control or equipment fault monitoring and things like this. The third people talked about was leveraging the tool-centric capability and those equipment control capabilities I just spoke about to augment the services we're offering in our services business, our customer success group by providing predictive analytics and predictive capabilities that increase the value of our equipment -- of our installed base.
Craig Ellis: Got it. Got it. Then it seems that, that strength is something that's giving gross margins strength in the fourth quarter. I wanted to follow up on the panel litho comments because that has been something that you've talked about recently as getting to that on-ramp that we've been looking for. And it seems like that's here. The question is, as we look ahead to calendar '22, from the three shipments that I think you mentioned you had in the quarter, what's possible from a shipment standpoint. And Steve, on your end, how should we be thinking about rev rec with panel litho?
Michael Plisinski: So what's possible from a shipment standpoint, we're basically booked out for capacity. So I won't give exactly what that number is, but it's -- it would be a record year for sure. So if you go back, I think prior record year might be eight systems -- six to eight systems shipped, so it'd be more than that. And then I'll let Steve talk about rev rec.
Steven Roth: Yes. From a rev rec standpoint, as Mike said in his prepared remarks, we've shipped our second tool, but this is the first of this model. So we're going through the process calls now. But I would not expect that because it's a process tool to be done by the end of the fourth quarter. So we're looking probably in Q1 where the tools that we shipped this year will be recognized in Q1.
Michael Plisinski: Craig, just add on that. In case it wasn't clear, the demand we're seeing all the way through 2022 and into -- actually through 2023 is driving us to increase the capacity to fill that demand. So we're actually increasing capacity, which will come online in 2023 to fulfill the increased demand we see and booked or at least have commitments for 2023.
Craig Ellis: On that point, Mike, and I know the portfolio is diverse across advanced packaging and advanced nodes. Can you just comment on the level of visibility that you have across the business right now. Certainly, in [indiscernible] it extends way out, but what about in other parts of the business?
Michael Plisinski: We certainly have more visibility as we've become a much larger, more important supplier to our customers, we're getting access and having discussions earlier on about expansions going out into the following year. So visibility is definitely stronger just from that. Then you increase or you add on top of that the concerns with supply chain and being able to secure slots and some of our equipments in fairly high demand. So we're getting an added level of discussion as customers want to ensure that they have access to our equipment.
Craig Ellis: Got it. And that's really helpful, guys, good luck, and thanks for the help.
Michael Plisinski: Thank you.
Steven Roth: Thanks, Craig.
Operator: Our next question comes from Patrick Ho with Stifel.
Patrick Ho: Got it. Congrats on the nice quarter and outlook. Mike, maybe first off, in terms of the advanced packaging business, you mentioned Jet being driven by heterogeneous integration. -- from your overall advanced packaging portfolio, is that the big driver? Or are you seeing broad based type of adoption of your different product portfolio across fan-out. Can you just give a little color in terms of the application and what's driving your overall advanced packaging business.
Michael Plisinski: Yes. Overall, I would say it's more what we mentioned. It's a lot driven by wafer lot type packaging, whether it's 3D TSV structures or micro bump and fan-out packaging, we've seen some resurgence in fan-out as well. So I'd say -- the more traditional wafer-level packaging is certainly driving, especially as we've seen large foundries, investments in packaging and driving down design nodes or RDL, the interconnect sizes continue to shrink, and that drives the demand for much higher resolution and much more precise systems, which we're seeing playing out across the IDMs and the OSATs trying to support that business as well.
Patrick Ho: Great. That's helpful. And maybe as my follow-up question, Steve, really strong gross margins in a challenging supply chain environment, you did highlight some of the variables and things you've done over the past few quarters to mitigate it. But with those strong gross margins, how are you able to manage costs overall, given that probably [indiscernible] going down. How are you keeping gross margin in that mid-50% range in the near term while these issues persist?
Steven Roth: Well, for the most part, as I've said on previous calls, we really -- I mean there has been some impact from the supply chain. Obviously, the one that people talk about the most is the shipping cost, the freight costs going up. Obviously, stuff that we bring over the water has been taking longer and longer lead times. So we've had some -- we've done some expediting to get around those longer lead times. So we had some increasing costs in the freight and logistics side. that we've seen. I mentioned that was kind of a little bit of an offset, but not really enough to move the margins because, obviously, we have pretty strong product margins. As for the overall cost increases from the suppliers you got to realize that we order out well in advance. Obviously, we're out with purchase orders. So we haven't seen any material price increases hit the numbers yet, but I think that's a risk that's out there that we keep looking at. But I think overall, our product mix, we've got a very strong product portfolio with a nice strong product margins. We've got the new products that are obviously adding more value, and therefore, coming with a higher margin. So as they continue to gain traction. I think they help any of the negative wins that might be coming in the direction.
Operator: Our next question from Quinn Bolton with Needham & Company.
Quinn Bolton: I'll offer my congratulations as well. I guess sort of big picture question, Mike and Steve, as you look into 2022, you talked about WFE growing 10% and your hopes or confidence that you'll be able to outgrow WFE next year. And I was just wondering could you sort of rank order maybe the top two or three drivers that allow you to outperform. You've talked about a lot of drivers on the call. You've talked about advanced packaging, heterogeneous integration. You've talked about JetStep. What are some of the biggest drivers you see going into next year?
Michael Plisinski: Well, I think we see one of the biggest drivers is packaging in general. When I look at some of the numbers here, we see some significant spending happening in advanced packaging, particularly at the higher end, the more advanced or smaller interconnects that we just thought of. So that's in both the -- driving both the inspection. So it's both at the wafer level, but also at the panel level. So as you know, that those steppers are fairly expensive. So such a backlog is pretty, pretty impactful to the business. And then beyond that, we still see a lot of strength in the advanced nodes. So the adoption of the Atlas for some of the more critical measurements, the rolling out of sub-5-nanometer across several different customers that we're expecting. That's also driving what we talked about was a higher capital intensity and something that we think we're pretty well positioned to benefit from. So we see some nice growth there. And DRAM memory is also going to be much stronger next year, and we've always been well positioned for strength in memory. So that will be part of that advanced nodes growth we just talked about. I think -- and also the specialty devices. So if I go into three different buckets, the third would be the specialty devices, which we think is -- continue at some relatively high levels. So relatively meaning compared to several years back, prior peaks, specialty devices is growing pretty meaningfully.
Quinn Bolton: Great. And then just wanted to ask a sort of specific follow-up. Mike, you highlighted some wins with the new integrated metrology. I think you mentioned six new customers that start to ramp next year. How big of an opportunity is that in terms of share gains? Is it a few million dollars? Is it tens of millions of dollars across those six customers. I wonder if you might be able to size that for us a little bit.
Michael Plisinski: I think it's in the orders of tens of millions, maybe somewhere in that 10% to 20% range. It's hard to give you an exact figure, but it's definitely significant or I wouldn't have mentioned it. We're definitely seeing very positive feedback on the capability of our tool. And obviously, it's important decision for customers because it's a relatively inexpensive tool compared to the cost of the CMP tool and the importance of the process step. But the data we're seeing, the traction we're gaining. I mentioned the 50% growth in the first nine months of this year compared to the prior year, that's well ahead of WFE projections for the year. So we're definitely gaining traction and customers are meaningfully -- or having a meaningful impact on the advanced nodes revenue stream because of the integrated.
Operator: [Operator Instructions] We'll take our next question from David Duley with Steelhead Securities.
David Duley: Did you guys mentioned what the backlog was? I think you mentioned that you have a record backlog. Could you share with us what it is at this point?
Steven Roth: We don't normally give out the actual backlog number. I think as Mike mentioned in his prepared remarks that we've seen a double from where it was at this point last year, but we don't put out a specific number.
David Duley: Steve, maybe just tell me what the backlog was the last time you published it, that's probably at year-end.
Steven Roth: Actually, we didn't publish it's not even a requirement anymore, Dave. So we don't -- actually, we don't publish that -- we haven't published backlog in a long time.
David Duley: Okay, okay. You mentioned that you got, I think, orders for six more JetStep. Could you remind us, I think in the last few conference calls, you've mentioned how many JetSteps are in the backlog to be shipped. Could you share that number with us now?
Michael Plisinski: Last time, we mentioned -- we gave an indication it could be around $30 million, and this would be on top of that. But keep in mind, these are -- with these were commitments. So some of them are dollars to reserve the slot, some purchase orders. So formal commitments.
David Duley: Okay. And as far as the -- are you seeing any activity from the ARM hyperscaler type guys? Has that started to creep up into where those guys are starting to order tools or starting to move the needle on any sort of purchasing?
Michael Plisinski: You're speaking specifically about JetStep or generally?
David Duley: Just generally. If you want to answer on JetStep, that would be fine.
Michael Plisinski: No, I think generally, Apple has been -- I'm not sure exactly where you're going with this, but Apple their latest processors going through kind of an ARM architecture that's doing very well. And Everyone's aware of who they're using to manufacture those. That's obviously a large customer for us. So yes, we've definitely seen activity in that regard.
David Duley: One reason I asked is the AMDs of the world, and there's some, I think, new companies coming to market and some of the traditional hyperscalers are developing their own chips. I've seen some of the chips, pictures of them. They're a huge. So I was wondering if you're starting to see any activity in the lithography area from some of these ARM-based processors.
Michael Plisinski: Yes. From the packaging side, we understand our customers are supporting multiple logic design, foundry customers. So it's reasonable to assume we are seeing that if they're developing advanced microprocessors that we're seeing it.
David Duley: Okay. And then I think you mentioned your inspection business was up 20% sequentially for the second quarter in a row. Now that you've given guidance for Q4, could you share with us what you think the size of your inspection business will be in 2021? And do you expect inspection to grow in 2022?
Michael Plisinski: We don't break out the inspection per se by size. We talked about advanced nodes, specialty AP, et cetera. So we try and tie it to markets. But we do expect inspection to grow ahead of if the market is going to grow by 10% next year, our expectations would be inspection grows more than that based on what we're seeing from like I mentioned, the specialty device and AP customers growing fairly significantly.
David Duley: So just to kind of recap, I guess, you expect growth in the your JetStep business, there's growth in the inspection business, which is kind of the old Rudolph business. And then there's growth in the advanced nodes, which is the combination of both the Rudolph and the Nanometrics business. So all kind of -- all the buckets are growing in the upcoming year?
Michael Plisinski: Yes, that's, I guess, an impact when there's chip shortages. There's a lot of customers trying to fill that demand, and we're seeing the demand across -- right across the markets we serve, which are not just the leading edge logic and DRAM and NAND, but also the RF and power customers and compound semi and MEMS for automotive, Yes, and with everybody announcing expansions, we're seeing some pretty decent demand for our solutions.
David Duley: Well, excellent. Congratulations on nice results, and it looks like the future is going to be quite bright as well.
Michael Plisinski: We hope so.
Michael Sheaffer: Me too.
Steven Roth: Thanks, Dave.
Operator: That concludes today's question-and-answer session. Mike Sheaffer, at this time, I will turn the conference back to you for any additional or closing remarks.
Michael Sheaffer: That concludes our remarks for the call, David. We'd like to thank everyone for participating in the call today and for your continued interest in Onto Innovation. Please go ahead and wrap up the call.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.